Operator: Good morning. My name is Rob, and I’ll be your conference operator today. At this time, I would like to welcome everyone to the Membership Collective Group Inc. Fourth Quarter and Full Year 2021 Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks there will be a question-and answer-session.  Thank you. Greg Feehely, Director of Investor Relations, you may begin your conference.
Greg Feehely: Some of today's statements may be forward-looking and actual results may differ materially due to a number of risks and uncertainties including those discussed in our most recent quarterly report on Form 10-Q filed on November 17, 2021. Any forward-looking statements represent our views only as of today and we assume no obligation to update any forward-looking statements if our views change. By now you should have access to our fourth quarter and full year financial fiscal 2021 earnings release, which can be found at membershipcollectivegroup.com in the News and Events section. Additionally, we have posted our fiscal 2021 earnings presentation, which can also be found in the News and Events section on our site. During the call, we refer to certain non-GAAP financial measures. These non-GAAP measures should be considered in addition to and not as a substitute for or in isolation from our GAAP results. Reconciliations to the most comparable GAAP measures are available in today's earnings press release.
Nick Jones: Hello everyone. I'm Nick Jones, Founder and CEO of MCG. I am delighted to welcome you all to the fourth quarter earnings call for the MCG this time from London, but we'll be in the US next week and we'll be happy to see you all. I'm going to take you through some of the highlights for the fourth quarter and for the year before handing over to Andrew, our President for a focus on our core Soho House business and growing membership despite the pandemic and macro headwinds of the last year. Humera, our CFO will follow with a detailed overview for the numbers before concluding remarks and opening up any questions. First though, a recap on our value proposition. What makes MCG special? We are the only global membership platform with a proven experience of delivering reoccurring revenues over the last 26 years. Our membership growth is stronger than ever. In fact, we are on track to beat our Q1 year membership target by 25%. We have always had a member first focus and this has seen us increase demand for our membership base year-on-year during 2021. Our waitlist grew even during COVID. Our members were incredibly loyal. Both retention and frozen members are now back to pre-pandemic levels. We have a large addressable global market and that will continue with a North American focus to our development plans. Alongside our first two houses in Scandinavia and a further house in Asia, we now aim to target opening at least eight to 10 new Soho Houses every year and have increased our development pipeline to nine this year. As you know Q4 was a quarter with its challenges. Business was really strong in October and November before the new variant disrupted business in December during what normally is our best time of the year. But looking ahead, we are confident that as the world finally emerges from COVID, we can deliver on our plans. The majority of our future houses are an asset-light development model, which means we can expand significantly whilst conserving cash and providing a path forward to generate free cash flow. Of course, MCG is not immune to the continued pressures from rising inflation but we have countered this by increasing pricing including our Every House membership, which was last reviewed in 2019. We also see great potential to scale our high-margin brands like Soho Home, which our members love because it means they can bring the house home; and Soho Connect, which is going to be our digital membership where members will be able to connect with each other globally. This is launching later this year. 2021 was a challenging year for us all due to the various COVID restrictions throughout the year. In fact, we estimate that our houses only operated at approximately 40% capacity and that was with all the masks and the social distancing, which went with it. Combined with the inefficiencies of opening and closing numerous times and staff shortages, it made the year difficult for our teams and members. That said, I believe we delivered a strong set of results. It's hard to believe that our IPO was only eight months ago, raising $388 million to strengthen our balance sheet and the huge effort our team dedicated to achieving this during a pandemic. I really want to thank them a lot. At the end of 2021, MCG had approximately 156,000 members in total across the Americas, UK, Europe and Asia. Our total MCG membership grew by 37,000 during 2021 with 11,000 of those joining in the final quarter and that's despite delaying some December intakes because of the new variant. Our Soho House retention rate has not only remained high, but is now back to 2019 levels. 2021 was a record year for all our membership applications from all geographies with the year-end MCG waitlist is now at over 70,000. The value of a Soho House membership continued to increase, as our portfolio expanded with the opening of another six Soho Houses, four of which were in new countries for us. Our members love nothing more than new house opening. In 2022, we have increased our development pipeline to nine and have already had a great start to the year with the opening of Nashville, Brighton later this month and Holloway House in West Hollywood in April. Our members love products associated with Soho House and this leads to a higher spend per member across, our complementary businesses such as Soho Home and Soho Works, which grew significantly last year. We saw strong year-on-year EBITDA improvement during the quarter and full year and believe this improving momentum will continue. A little more detail on the exciting openings for 2022. Nashville which opened last month is centered around local art and live entertainment. They love new era featuring 47 bedrooms indoor and outdoor performance spaces, a large swimming pool, screening room, a Soho Health Club and our first-ever club Cecconi's. We have welcomed over 1,000 new members since opening and our waitlist increasing every week. It's going to be one of the best houses. Brighton Beach House on the South Coast of the UK is located in one of the most creative progressive cities. So it seemed like a natural step to open a house there. Our membership applications are incredible and are very, very strong. Holloway House in West Hollywood will follow shortly afterwards. It has 34 bedrooms which our West Coast members and people who visit the West Coast have been asking for, for a while. We will host several Oscar parties and other private events at the end of March before fully opening to members in April. For the remainder of 2022, we have houses opening in London, Miami, Stockholm, Copenhagen, Mexico City and Bangkok to reach the nine I've just mentioned and we'll update you each quarter on our progress. We plan to open our second Scorpios site in Tulum in Mexico towards the end of this year as well as The Ned Nomad in New York expected to open in the summer of 2022. This growth is what MCG is all about, continually increasing the value of our memberships by adding new access and experiences for all our members. And with that, I will hand over to Andrew.
Andrew Carnie: Thanks, Nick, and welcome everyone. While our full year figures reflect the impact of Omicron with many of our houses closed during long periods of the year, membership engagement has never been stronger. A few key themes to note. Memberships increased throughout 2021 achieving all-time highs despite the pandemic. As we add more houses, members are increasingly choosing Every House membership, now accounting for 81% of total members versus 75% in 2017. Our waitlist at the end of fiscal 2021 stands at an all-time high of over 70,000 and demand for memberships have increased significantly in 2022 with 1,600 applications per week. So let me frame that for you. We've attracted around 150,000 members over our nearly three decades history and we now have almost 50% of that number on the current waitlist. This provides us with unparalleled stability and predictability. Inflation is on everyone's mind and we found that having the majority of our members having Every House membership, allows us to pass on inflation more easily, as the added value they gain from opening new houses far outweighs the membership price increase. As of Q4 2021, all membership metrics have returned to or above historical highs. Our members are incredibly loyal. Our cost of marketing and attracting new members continues to be negligible, which is unique enables strong margin enhancement opportunities. So here are our Q4 statistics I'd like to share with you. Membership revenues at $53 million, 24% higher than Q4 2020. Membership revenue accounted for 29% of total revenues, which is an encouraging metric for us because it shows our recurring revenues are back in line with 2019 levels. We finished Q4 with 122800 Soho House members, welcoming 9,300 new members during 2021 including 5000 in Q4. New members joined us across all our houses and geographies, demonstrating our global footprint. Comparable house membership net growth was plus 300 basis points and new houses achieved their goals adding a further 1,700 members in Q4. Our waitlist which is a key indicator of the health of our membership continued to grow in Q4, up nearly 23000 or 48% versus Q4 2020. As Nick mentioned, our retention rate has returned to 95% by the end of Q4 some 300 basis points higher than in 2020. We would have met or even exceeded our intakes if not for the new variant of COVID in December. Frozen memberships reduced by 71% over the course of the financial year back to pre-pandemic levels. Soho Friends our newer membership has continued to grow consistently. In Q4, we welcomed a further 5,550 taking the 2021 total to 23,500, which is a 500% growth in 2021. Soho Friends are predominantly guests of members. We captured the data of all our guests and communicated about our new memberships via the house guest functionality in the Soho House app. There is an appreciable conversion rate of guests to members. You know, we're able to grow Soho Friends at a low cost of acquisition using existing physical and digital assets. The membership will drive margin enhancement for the foreseeable future. Finally, we continue to see digital engagement increase significantly. App users increased by 160% versus 2020 and members now use the app three times per week for booking, paying and connecting. To help frame those stats further, at the beginning of last year, 40% of members were using the app. By the end of last year, 85% we're using it and 75% of all member bookings are now via the SH.APP, doubling within the last 12 months. The uptake of digital bookings took over 200,000 calls away from our contact center in reception last year, which led to significant reduction in our operational spend. We've seen a sizable uplift of our social connection feature on the app House Connect. 31% of members now use House Connect each week, up from zero this time last year. Learnings from House Connect are feeding into our new digital-only membership, Soho Connect which will launch later this year. Looking ahead to 2022, we've already welcomed 9,000 MCG members in the first two months of this year alone, which represents a 6% growth in our membership base since year-end and illustrates significant momentum in our membership. We will welcome 25% more members than planned in Q1 and increase full year by the same uplift. Turning to In-House revenues. We saw a near 250% growth of In-House revenues versus the fourth quarter of 2020 and a further 33% growth over Q3 2021, despite the new variant of COVID disruption in December. Our accommodation performance was robust given the backdrop of ongoing restrictions. Occupancy by month varied across three regions for Q4. UK was strongest, followed by the USA business, which improved steadily and held up remarkably well in December, whereas our European business was very challenging and struggled throughout Q4 due to the heavy travel restrictions. Notwithstanding the above, our ADRs were on average 38% higher than comparable Q4 2019 levels, helping to offset weaker occupancy levels and leading to a 4% RevPAR growth versus 2019. Looking to this year, despite a challenging January, revenues have bounced back and continue at the same growth as Q4. In February performance in the US and UK houses, which are the two regions that are most normalized post-COVID both are performing well and we're seeing like-for-like revenues well above 2019 levels. Plus forward bookings for the remainder of March and April are looking very strong. Now I want to turn to our addressable market. We have a large addressable market with an attractive financial model that will yield high margins. We will double to over 85 houses over the next five years and we'll exceed our planned Soho House openings in 2022 as discussed by Nick earlier. I want to spend more time on our confidence around margin improvement and why our Cities Without Houses membership is important to our growth. Firstly, margin. With the six openings in 2021 and recently Nashville, 45% of our houses are newly built since the start of 2018. They're all in great condition and in relatively in the early stages of their maturation curves. Houses typically run approximately 20% house-level contribution margins after three years to five years of opening and stabilize at approximately 30% margins after 5 years to 10 years. As they stabilize more membership drops to the house-level contribution with our most established locations now achieving a 90% flow-through. Most of our openings were derived from the Cities Without Houses program. We have over 4,200 CWH members paying full Every House membership across more than 40 cities. It's a highly possible business, which we will continue to expand in the creative hubs around the world in particular North America, Latin America and Asia. To put this in context, we have a clear path to more than doubling the size of our business in the coming years via our capital-light high-profit growth pipeline and margins will continue to grow and improve. I wanted to finish on Soho Home, our luxury interiors business as it showcases the strength of our Soho House brand. Soho Home literally allows members to take the house home. And over the past three years the CAGR is over 90%. 2021 was a standout year including 105% growth in Q4 year-on-year despite supply chain delays caused by the pandemic which thankfully are now alleviating and Soho Homes continued to perform strongly in Q1 with growth in line with 2021. Our members continue to be our most valuable customers making up 74% of our sales up 5% in the fourth quarter versus the third quarter and up 7% year-on-year. Gross margins over the year improved by 1,500 basis points to 75% with average order values increasing more than 60% during the quarter versus Q4 2020. The rapid growth and positive metrics show the teams are delighting members and executing growth well. Soho Home is a high-growth business with a significant future ahead of it. Before I pass you on to Humera, I want to thank the teams and Martin, our COO for continuing to give the best member experience and delivering a good set of results during what has been a very challenging year in Q4. 
Humera Afzal: Thanks, Andrew and welcome everyone. I'll now take you through the financial highlights from the fourth quarter of 2021 starting first with a snapshot of some of our KPIs before moving on to revenue, contribution margins and adjusted EBITDA in more detail over the following slides. We've also placed the equivalent slides for the full 2021 financial year in the appendices for your convenience. Firstly, our total revenue in Q4 of $184.5 million increased by 158% compared with the fourth quarter of 2020. In the quarter, our membership revenue our recurring revenue income stream increased to $52.7 million or 24% above Q4 2020 levels and accounting for 29% of total revenue in the period. This was driven by the growth in our total membership base which Andrew has already spoken about. In-House revenue in Q4 continued to rebound strongly despite the Omicron impact to business in December increasing to $89 million or a 247% improvement year-on-year. It was also a strong improvement over the Q3 performance of $66.9 million. All regions benefited from F&B price increases. The weighted average of these was approximately 5% during the quarter and had very little impact on volumes. Growth was also boosted by fewer COVID restrictions year-on-year particularly in North America. Other revenues of $42.8 million also showed a very strong recovery versus 2020 driven by the continued robust performance of Soho Home recovery of public restaurants in the UK and North America. Also aiding other revenue growth was improved performance of The NED London for which we receive a management fee; and growing contribution from the line of Saguaro Hotels which became part of the MCG Group in June 2021. House-level contribution benefited from reduced restrictions year-on-year and robust membership growth in the second half of the year. However, this was offset by increasing operating costs and the company opening six new houses in 2021 versus only one new house in 2020, as new openings tend to have a negative contribution in the first one to two years.  House contribution margin for Q4, 2021 is down slightly versus Q4, '20 at 24% and the main driver of this is government support provided during 2020 and 2021. And adjusting this support out, House contribution will be up almost 2% on Q4, 2020. Other contribution also improved strongly from a loss of nearly $14 million in Q4, '20 to a positive $5.3 million in Q4, 2021 due to growth in our retail offering year-on-year and improved performance in our restaurants and townhouses following reduced restrictions. I'd like to touch briefly on membership credits before we move on. Credits with a face value of $5 million were redeemed by members in Q4, 2021 equivalent to an estimated $3 million of potential gross profit, if a cash sale had been made by those members. Although these membership credit sales are not included in the revenue numbers, we have shared them with you today. This takes total credit usage for full year 2021 to $43 million which is not recognized in our revenue numbers with an approximate $30 million opportunity cost or EBITDA miss for the group. Credit sales as a percentage of total sales are around 1% to 2% for 2022 year-to-date with spend predominantly in Soho Home Online and in our European houses. Moving on to the revenue bridge. This slide sets out the building blocks of our revenue build across the final quarter of our financial year. You'll see here the three main drivers to our improved revenue performance. Firstly, membership growth. Membership revenue growth was volume-driven with significant increase in full-paying members year-on-year in existing houses, as well as membership fees from six new houses in 2021, an increase of 17,000 members. There were no material Soho House membership price increases between Q4, '20 and Q4, 2021 and Other memberships contributed to circa 35% of revenue growth versus the same quarter in 2020. Secondly, the much-improved In House revenue performance was aided by the new house openings and fewer COVID closures and restrictions overall versus Q4, 2020. Although to note, some restrictions in Q4, 2021 particularly across Europe did have an impact on sales. This was partially mitigated by price rises earlier in 2021 across food and beverage and the increase in ADR that Andrew has mentioned. And finally, other revenue growth came from various sources including full consolidation of revenue from the Mandolin restaurant and revenues from LINE and Saguaro in Q4, 2021. Additionally, there was continued strong growth in the Soho Home offering, as well as improved performance of UK, North American restaurants as demand increased as COVID restrictions reduced. Turning next to EBITDA. Overall, our adjusted EBITDA improved from a loss of $19.1 million in Q4, '20 to a positive $2.6 million for Q4, 2021 and net loss was $41.9 million for the quarter versus a loss of $72.5 million in Q4, '20. In terms of the key drivers of the improved performance, adjusted EBITDA growth year-on-year is predominantly driven by four key aspects. Firstly, increased membership revenues were volume-driven with significant increase in full-paying Soho House members year-on-year, as well as membership fees from six new houses. Additional membership revenue was driven by improved occupancy at Soho Works. The next driver is the recovery of In House contribution through increased footfall, given fewer restrictions year-on-year, in addition to improved food and beverage cost of sales management across the UK and North American houses. However, there was a dilutive impact of the six new houses on House contribution. As you know they are typically loss-making the first year or two of their operation. Within other contribution, we benefited from continued growth in retail, as well as improved performance from our restaurants and contribution from LINE and Saguaro. EBITDA growth was partially offset by increased G&A expenses including those related to being a publicly listed company and these were approximately $3 million during the quarter, including payroll, legal fees and insurance. As you know, we report our adjusted EBITDA burden for growth meaning that, we include expenses that are associated with the growth of our business. The bridge on this slide shows some of these expenses. Firstly, preopening costs were $5.3 million in Q4, 2021. Noncash rent which is the difference between the rental costs in accordance with GAAP and the actual cash cost was $5.8 million in the quarter. And finally deferred registration fees were $3.9 million in Q4, 2021. Now delving a bit further into contribution margins. Firstly, house level contribution which is defined as House revenues less In-House operating expenses was $32 million for the fourth quarter of 2021, with house-level contribution margin at 24%, up from 21% in Q3 2021, but down from 26% margin in Q4 2020. As mentioned earlier, stripping out government wage support from House contribution Q4 2021 margin would be almost 2% better year-on-year. Understandably, as volumes In-Houses rose In-House operating expenses also increased. In line with the industry, we've seen inflationary pressures across our food and beverage, indirect costs and most notably labor base as well as energy. We expect energy prices to continue to rise into 2022. As mentioned in Q3, we proactively increased wage rates in June to attract and retain the best talent. The food beverage and accommodation price increase we have implemented, combined with ongoing efficiency programs have enabled us to partially offset the inflationary pressures. In fact, our food and beverage cost ratios in our UK houses in the quarter were 3% better than the same period pre-pandemic. Moving now to Other contribution, which we define as Other revenues plus non-House membership revenue less other operating expenses, was $5.3 million compared to a loss of $13.9 million for fourth quarter 2020. This improvement was driven by strong growth of our Other revenue and in particular, the contribution from Soho Home public restaurants and the LINE and Saguaro. The capitalization table shows our position as at the end of Q4, 2021. We ended the year with $221 million of cash and cash equivalents and net debt of $382.4 million. During the quarter, there was an $8 million payment to pay back debt within our Barcelona joint venture, a $4 million settlement of a promissory note and also, a $4 million employment tax-related payments, which have been delayed due to the pandemic. Excluding financing, cash usage in the quarter related to the diminishing impact of membership credits, as well as the ongoing impact of capacity limitations at our houses as a result of COVID-related restrictions in some location, for example, Amsterdam and Hong Kong. Furthermore, there was capital expenditure on our digital platform and routine capital expenditure to support the ongoing reopening of the houses. And finally from me, we remain confident about the overall recovery of our MCG Group revenues given the positive momentum of Q4 2021 carrying through into Q1 2022. Our February 2022 revenues in our UK and US houses and restaurants, performed 15% and 3% above the comparative 2019 pre-pandemic levels respectively. Total MCG membership increased by a further 6% in the first two months of the quarter. Together with our high-level member retention, record waitlist numbers and growth from new houses, membership continues to be a very valuable recurring revenue stream. We have accelerated our pipeline for site openings in 2022 to nine Soho Houses, covering four new countries. In the first quarter of 2022, we will have opened two new houses in Nashville and Brighton. This will be followed in April by Holloway House in West Hollywood. For fiscal 2023 onwards, we now aim to open eight to 10 new Soho Houses per annum. With the increased houses in our pipeline combined with the unprecedented demand for our memberships, we feel confident in exceeding our Soho House membership goals this year by 25%. We remain cautious about the emergence of any future COVID-19 variants along with continued inflationary pressures, particularly in energy supply. However, we have several cost control programs in progress to counter some of these pressures. Notwithstanding these headwinds, we expect to deliver sustained margin growth within the short-term and beyond. And now, I'll pass you back to Nick.
Nick Jones: In summary, it's been a strong quarter despite the new variant. And we continue to be very excited about the future. We now have considerable momentum. Thanks to a number of factors: the ongoing bounce back from the pandemic but also the highest membership waitlist we have ever had with applications building steadily and the immense loyalty that our members have demonstrated. We have a very clear path to house growth with nine new Soho Houses this year, and an asset-light strategy, which will drive free cash flow. And our wider Soho House ecosystem will continue to yield further revenue and margin expansion alongside growth of our recent house openings. I'd like to finish by thanking all the people who work for the MCG around the world for their passion resilience and hard work, in facing the issues of the past year and our members and investors for all their support in the last quarter and in the coming quarters ahead. I'd also like to take this opportunity to thank Humera, our Chief Financial Officer, who'll be leaving the company on the 14th of June 2022. Humera played an instrumental role in leading our IPO process and the journey towards becoming a public company. She has been an invaluable adviser to the leadership team and to me personally and her expertise, knowledge, wit and strength will be missed by us all. I wish her every success in the future. We will now open up to some questions. Operator, can we take the first question please? 
Operator: Thank you Mr. Nick Jones.  And your first question comes from the line of Thomas Allen from Morgan Stanley. Your line is open.
Thomas Allen: Thank you. Just on the increase in the annual opening guide, can you just give us a little bit more detail on what's driving that confidence? And I guess yes, connected to that question, when I look at what you're guiding for openings in 2022, there's been a bit of a shuffling, right? So you've added Miami, Tulum, Copenhagen and Bangkok and you've moved out Cabo and Manchester. Can you just give a little bit more detail on that too? Thank you.
Nick Jones: Sure. Hi, Nick here. Well, we're really excited about the nine houses we're opening this year. And yes, it has been a slight moving of houses from one quarter to another and that is down to supply chain, availability of building, contractors, et cetera, due to the headwinds from COVID. But we are very confident of the nine houses this year and we're very confident for a robust number of houses next year. So our houses are definitely increasing up to as we said to the eight to 10 mark each year. And we're very excited about all these new houses opening. Manchester for instance, you've mentioned Manchester and I want to phase into that is it could be this year, it could be the beginning of next year. We didn't want to put anything out if we weren't going to deliver.
Thomas Allen: Nick I guess my follow-up to this is I don't remember seeing Copenhagen or Bangkok in the pipeline prior. Are you getting more like quick conversion opportunities? Is that how these – so some of these properties that are coming in?
Nick Jones: So I mean we always look at every opportunity, which comes our way. And a city like Copenhagen, we didn't want to put a big house in there, so we wanted to put a medium house in there. So we've been on the lookout at for a very long time. It just so happened that one became available in the perfect state – space in the last six months. And the same has happened in Bangkok. We are very interested in expanding in Asia and we've been – Bangkok has been a big target city for us. Our CWH membership works incredibly well in both these cities. And through that they – our members have helped us find these sites and secure these sites.
Andrew Carnie: Just to add on to Nick's answer is the other thing that we've obviously done is we've beefed up a lot of our development teams. We did that 12, 18 months ago and that's actually paying a lot of dividends now. So actually we have this – we have a playbook of openings of how to do it. We're – opening six last year really gave us a lot of learnings. So we've got a clear playbook. So actually when opportunities do come along we can move super quick now and execute to a really high level. So that's what actually is giving us the extra confidence of delivering the eight to 10 versus the five to seven previously guided. I hope that makes sense.
Thomas Allen: No that all makes sense. And then just as my second question, you obviously have a lot of exposure to Europe and some to Asia, are you seeing impact from the rising COVID cases in those regions? And then any impact from what's going on in Russia and Ukraine? Thank you.
Nick Jones: Well, Europe is definitely getting stronger and stronger for us every week. It – I mean, as I think we've reported, we are delighted with what we're seeing back in our houses and Europe is exactly the same. Asia, Hong Kong, there is – it's – a 6 o’ clock closing in Hong Kong currently, so that is impacted. As far as Russia and Ukraine is concerned, we don't have any houses in either country. And in terms of the supply chain, there's likely to be some limited disruption. But as yet, we haven't noticed that.
Thomas Allen: Helpful. Thank you.
Operator: Your next question comes from the line of Joe Greff from JPMorgan. Your line is open.
Joe Greff: Hi, everybody. Hope you're well. A couple of quick questions here. Nick or Andrew and Humera, can you talk about the revenue and margin ramp of new houses in new geographies, so Scandi countries, Mexico and Asia versus the historical ramp of new houses in New York and London? Is there much of a difference? Is there a difference in labor cost that might actually help in Asia or Mexico? Can you talk about that a little bit? And then, on the topic of reordering the new house openings for this year and next year, I was hoping you can give us, Humera, pre-opening expenses and non-cash rent for this year or perhaps for next year.
Nick Jones: It sounds like a double Humera.
Humera Afzal: Yeah. In terms of the different geographies and the margin ramp-up and revenue ramp-up, the maturation profile that we've referred to before will still hold, continue to hold. And there may be ups and downs, as you said, based on different labor costs, et cetera. But in the longer term, that's the target that we've always set will still be sustained. And when we look at potential labor cost increases, and you're right, in a country like Copenhagen, that the labor costs are higher, but we'd expect to be able to pass those on through the membership prices and also the F&B prices. So we do try and make our underwriting and our forward-looking model based on the same maturation curve. In North America, there are also plus and minuses. So in North America, the membership fee continues to be higher than the rest of the world. And so we do expect to see softer margin ramp-up in North America. But on the whole, the expectation is that, that margin profile will remain the same. And then your next question was around...
Nick Jones: Pre-opening.
Humera Afzal: The pre-opening cost?
Joe Greff: Pre-opening expenses and non-cash rent, yes.
Humera Afzal: We can dig into the model a bit later when we've got -- I think we've got a one-on-one call with you.
Joe Greff: Okay. Great. And then, Andrew, on Soho Home, I was hoping you can give us a magnitude of revenue dollars in the fourth quarter in fiscal '21 and perhaps, if you can share with us how you expect that to grow in '22.
Andrew Carnie: Yes. Good question, Joe. I'm not going to give you the revenue numbers. We can discuss that when we catch up. What we are seeing is, we've seen, over the past three years, super high comps. I can confidently say they will continue through this year and next. It's a very, very high growth business. It's yielding really nice margins, as I said on my prerecorded script, so it's really enhancing the integral profitability of the second half. It will continue to do so in a much bigger way as we go forward.
Joe Greff: Thank you.
Operator: And there are no further phone questions at this time. I will turn the call over to our presenters for any web questions.
Greg Feehely: Okay. We've got a couple of questions online here. I'll just read them out. How have price rises that you have enacted been received by members, is the first question that we have.
Nick Jones: Well, I'll take that. Maybe Humera and Andrew will chip in. Our members are very understanding about what's going on in the world. They understand the price of food, fuel is going up. And we're very responsible how we pass it on to our members. But they understand it, and we have not seen any negativeness from our members on this.
Humera Afzal: Yeah, we haven't really seen any drop-off in terms of volumes, in terms of in-house revenues. Our ADRs continue to be strong across North America and the UK. RevPAR is actually trending above where it was in Q4 '19, across both North America and the UK. So we're confident that the price increases have landed well.
Greg Feehely: Okay. We have one more question online. Would you be opening Soho House in more major cities in the US, for example, Boston?
Nick Jones: Yes is the answer to that. I mean, we are looking at Boston heavily as we are with Atlanta and other cities in America. I mean, as you know, America is -- America and Soho House have a great relationship. And when we do go into cities, like we have done with Nashville and Austin over the last, sort of, since June last year they have been received incredibly well and the membership numbers are really impressive. So, yes, is the answer to that. 
Greg Feehely: And we have another question online. Do you have data on member utilization and visits? And if this is tracking ahead versus pre-pandemic times? 
Andrew Carnie: Yes. So I'll take that one. Yes, we do. We have a lot of data on our members. And what we saw in February was, yes, we -- our members are increasing their visits per house on a monthly basis in February compared to 2019 and their average spend in the house is slightly higher. Now you would expect that a little bit on the pricing pieces that we've put through but they are spending slightly more than this. But the other key factor here is we're getting a lot more spend from our members to our new businesses like Soho Works. We have over 5,000 Soho Works members now and they're all existing Soho House members. They're bolting on another membership. And then additionally Soho Home 75% of all our sales in Soho Home are Soho House members. So it all goes back to that getting a bigger share of wallet from our existing members from our new businesses, but also driving our members into the houses more often through better event programming great food, great services to gain more spend and more frequency of visit. So, yes, we are seeing those trends and we're very focused on them as we go forward.
Greg Feehely: And one more Soho House location question. Are we looking in Singapore?
Nick Jones: We are looking in Singapore. We've come close a couple of times on several sites, but they haven't come off. I mean I just do want to sort of say that members love new houses. They really -- our existing members love visiting the new houses. And the local community and the local membership really works in the areas that houses do open. And Soho House is all about looking after our existing members and adding new members. And I think the team are doing an incredible job globally in all those areas. 
Greg Feehely: We have a further question about what is our strategy given the current situation in Hong Kong? 
Nick Jones: Well, the strategy is we're on it every day with the team. We're hoping that in April things will open up more. And we have great hope for Hong Kong in the future. We have a very robust membership out there. They would love to use the house more if they could. And it's a beautiful house. So we're confident about the future. 
Humera Afzal: We're looking at the cost base in Hong Kong as well. Volumes have dropped off given the limitations in activity there. So some of the things that we're looking at is negotiating the rent because that's a fixed cost. And we're also looking at subletting floors that perhaps are underutilized. So whether it be sort of short to mid-term lets where we can bring back some of the costs. 
Greg Feehely: We have no further questions online.
Operator: And there are no further phone questions at this time. I'll turn the call over to Mr. Nick Jones for any closing comments. 
Nick Jones: Yes, I just want to thank everyone. I think it's been an exciting quarter. We're super excited about the future. I want to say live thank you to Humera again. We're super sad that she's moving on and she's done such a brilliant job. And we -- I wouldn't be sitting here unless she was there by my side making this happen. And I want to thank you Andrew as well for all your support and help over the last 12 months. And really look forward to really doing -- getting back to what we love which is serving members, serving customers, busy houses, huge waiting lists, new houses et cetera and that's what we are passionate about. So thank you very much and we'll see you all very soon.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.